Operator: Good day, and welcome to the Eutelsat Communications Third Quarter 2016, 2017, revenue's presentation conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Sandrine Teran, CFO of Eutelsat Communications. Please go ahead, ma'am.
Sandrine Teran: Thank you. Good evening, everyone. Welcome and thank you for joining us today for Eutelsat's Q3 revenues. I'm Sandrine Teran, CFO and I'm joined by Michel Azibert, Deputy CEO. We present recent highlights and the amenities of third quarter revenues by application before turning to the outlook. Starting with the main business highlights. Third quarter revenues were in line with expectations down 4.9% reported and 4.2% like for like. This gives nine months revenues down 3.3% reported and by 2% like for like. On this basis, we confirm our revenue outlook for the full-year with our anticipated lending around the middle of the -1% to -3% range. We have also delivered a solid commercial performance with in government services, an outcome of the spring renewal campaign in line with our expectations. And in broadcast, the signature with NTV-Plus, Deutschland pay-TV operator, of a multiyear multi-transponder contract covering the Express-AT2 satellite at 140 degrees east. And incremental capacity on the Express-AT1 satellite at 66 degrees east. The multiyear renewal of the transponder at HOTBIRD by SRG, Switzerland's public broadcaster that compliments the C-Band transponder already booked on a long-term basis. And a multiyear contract with Ethiopia's INSA agency saw a new TV platform at 7/8 West neighborhood. We continue to work on CapEx efficiency. Two recent examples. First, the hosted payload with Eutelsat selected by the European Global Navigation Satellite Systems Agency for the development, integration and operation of the next-generation EGNOS payload on EUTELSAT 5 West B. This contract is valued at c. €100 million and service is scheduled to start in FY 2020 for a duration of 15 years. Satellite further diversification of the options for access to space with a contract with Blue Origin for a launch on the New Glenn rocket. Finally, the quarter was marked by the closing of the agreement combining Eutelsat's established European broadband business with ViaSat's broadband technology and Internet Service Provider expertise. Let's now move to the review of third quarter revenues. Third quarter revenues stood at €364.3 million, down 4.2% at constant currency and perimeter. On a reported basis, revenues were down 4.9% reflecting a 1.9 point negative perimeter effect following the disposal of Alterna'TV, Wins/DHI and DSAT Cinema and a 1.2 point positive currency effect related to the evolution of the Euro USD rate. As usual, I will concentrate my comment on like or like performance. First, core businesses. Video revenue were down 4.1% to €228 million and we presented 64% of total revenues. Fixed data revenues declined 12.6% to €42 million and accounted for 12% of revenues. Government services to that €45 million down 3% and we presented 12% of revenues. Satellite connectivity which is strongly go up growing. Fixed broadband stood at €24 million, a strong 36% increase and mobile connectivity stood at €17 million up 21%. Finally other revenues not shown in this slide amounted to €7.5 million in the third quarter compared to €15 million last year in particular because they no longer include revenues related to the agreements with SES at 28.5 degrees East until December 2016, 5 million per quarter. Turning to the deal. Q3 revenues were down 4.1% to €228 million. This reflected notably a 3.5% decline in broadcast to €206 million which I will comment in more detail on the next slide. A 9% decline in professional video to €23 million reflecting continued pressure on point-to-point services. If we look quarter-on-quarter, the slight decline in Q3 is fully attributable to professional video with broadcast revenues broadly stable even after the termination of the contract with Orange TV in December underpinned by your sustained performance in emerging markets notably MENA and Sub-Saharan Africa. At 31st of March, 2017, the total number of channels broadcast by EUTELSAT satellite stood at 6366 up 3.2% year-on-year. HD penetration continued to rise representing 16.6% of channels compared to 13.1 a year earlier. In numbers, 1057 channels up 31% from 807 a year earlier. As per list, let's take a closer look at pure broadcast revenues. Revenue were negatively impacted by first, lower revenues at HOTBIRD due to duration acquisition of capacity and the end of the Orange TV contract as previously announced. And said on, lower revenue at COMSAT which were boosted in 2016 by an exceptional volume of cloud sales to the height of the completion of the HD condition for DTT channels in France. If we exclude this two elements, which will be much lower next year, underwriting broadcast revenues actually rose by 2%. This reflects the contribution of incremental capacity launched last year, mainly EUTELSAT 36C for Sub-Saharan Africa for an additional 1.5 months compared with 2016 and a continued solid performance that several video neighborhood covering emerging markets such as seven degrees east of Africa and MENA and seven to eight degrees with MENA concerning that there are still growth opportunities in video. Let's turn now to fixed data. Revenues stood at €42 million down 20.6% year-on-year and continuing to reflect ongoing pricing pressure in all geographies, albeit at a slightly reduced e-load. Quarter-on-quarter revenues were down by 1.4% which represents a slight improvement in trends. Government services revenues stood at €45 million, down 3% year-on-year, reflecting the carry-over effect of lower renewals in the U.S. Department of Defense Spring 2016 campaign. This is significantly better that in the previous quarter down 77.7% year-on-year as the comparison basis is starting to ease. The lengthiest round of contract renewals with the U.S. administration resulted in an estimated renewal rates of c. 85% and new contracts representing an additional three 36-MHz equivalent transponders. Fixed broadband revenues stood at €24 million, up 36% year-on-year. This reflected mainly the positive effect of the entry into service in May 2016 of EUTELSAT 65 West A on which the Ka payload of Latin America is fully leased to EchoStar and Star group. Revenues for European broadband were broadly flat we studied our few trends affecting a filter slight erosion of the customer base. The commercial launch of the African broadband initiative in June is expected to support growth in this application from next fiscal year. Mobile connectivity revenues stood at €17 million, up 21% year-on-year, reflecting mainly the full-quarter effect of the agreement with Taqnia for the lease of four spotbeams on the HTS payload on the EUTELSAT 3B satellite. The HTS payload on EUTELSAT 172B mostly presold to Panasonic and the ramp up of inflight mobility contracts on KA-SAT will see server growth in this application in the next fiscal year. Now, a few comments on backlog and fill rate. Backlog. The backlog stood at €5.2 billion at 31st of March 2017, versus €5.3 billion at end December 2016, and €5.9 billion a year earlier, reflecting the natural consumption in the absence of significant renewals. Which was equivalent to 3.4 times 2016-17 revenues. And video applications represented 84% of the backlog. Fill rate. The fill rate stood at 68.2% at end of March 2017 versus 70.9% at end-December 2016. This reflected predominantly the impact of the entry into service of EUTELSAT 117 West B in January and to a lesser extent, the anticipated end of the contract with Orange TV. A few comments on the outlook. As I said earlier, the performance of the first nine months with a like for like revenues decline of 2% is in line with our expectation. As a reminder, the latter part of FY '17 faces headwinds in the shape of the termination of the Orange contract and the situation of revenues from SES at 28 degrees in December already visible in the Q3 deterioration and the negative thinking effect of the entry into service in 2016 of EUTELSAT 36C and EUTELSAT 65 West A. Despite these elements, we are pleased to confirm our revenue objectives for the full year with a now turn expected to remain around the middle of the -1% to -3% range. For the following two years, we also confirm our expectation of broadly flat FY'17-'18 revenues with a return to modest growth in FY 2018-19. Our order objectives are also confirmed. Following the implementation of the LEAP cost-savings plan, the EBITDA margin is no expected above 76% in both FY 2016-17 and FY 2017-18 and heading towards 77% in FY 2018-19. Cash CapEx will remain at an average of €420 million per annum for the period July 2016 to June 2019. As mentioned earlier, this takes account for future investment in VHTS capacity. Discretionary free cash flow is expected to grow at a compound annual rate in excess of 10% for the same period. We remain committed to a sound financial structure to support our investment grade credit rating and aim at a net debt to EBITDA ratio below 3.3 times. We also undertake to service stable to progressive dividend to shareholders. Thank you, ladies and gentlemen. And Michel and myself are ready to take your questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Mr. Paul Sidney from Credit Suisse. Please go ahead, Sir.
Paul Sidney: Yes, thank you, good evening. And just a couple of questions, please. And just in terms of the DoD Spring campaign, the 85%. I was just wondering, is it possible to split that between price and volume which I think you've given us in the past. And then number secondly, now the ViaSat, JV, has completed or closed. Can you give us any more details on how the JV will work or our sense will be deployed, what end users will be talked at and who will drive key investments and commercial strategy. Thank you.
Michel Azibert: Yes Paul, its Michel on the first question. Which is the campaign for the U.S. DoD. The figures are the following. The volume revenue is a little bit below 90% and the price decrease is around little bit below 6%, which by the way signals that the price decrease is slightly less than in the previous campaign which was more or less what we anticipated to see progressively.
Paul Sidney: Thank you.
Sandrine Teran: And on your second question on the JV with ViaSat. So, we closed the JV in March this year as expected. For the two entity in the JV which you have the infra core on one side and the retail core on the other side. So, the retail core is in the process of being set up. All the detail grown then this is are being connected in every market for the broadband application. And all the discussions about the joint procurement of the ViaSat-3 satellite are still on the way and on track to be concluded later this calendar year. So, the JV is going as expected and the procurement for the satellite is still on the discussion as we expected it would be the case in May this year.
Paul Sidney: Right, thank you.
Operator: Our next question comes from Sami Kassab from Exane. Please go ahead.
Sami Kassab: Good evening, Michel and Sandrine, a few questions. Given the 85% renewal rate with the DoD, and given the as we confirmed as you've saw in the government revenues can return to growth in the 12 months or you maintained a stable outlook there. And secondly, can you quantify the improvement in the rate of price declining fixed data. We talked with about 15 versus -20 before or is it as an improvement much lower than that? And lastly, any update on the year cost savings plan you have been, some progress you might have done, progresses you have achieved in your cost savings plan? Thank you, so much.
Michel Azibert: Yes, Sami. Maybe on the first question, I guess it's more prudent to consider a stable outlook for the evolution in value of the revenues for the U.S. DoD and I would say more broadly for government. On the one end, prices are still decreasing but it should decreasing less if not tremendous change but that's very sort of decreasing more or less in the range of 6% the previous quarter year-on-year and now it's more like 5%. So, the decrease is a little bit less. And on the volume, it's not exactly DoD. The net result of the three transponders and the fill rate attrition due to the renewal campaign is slightly negative but all-in-all, it should be, we should move into a stable outlook. Regarding the data, the change also is modest. We were in a like in between 9% and 10% year-on-year decrease, we are now between 8% and 9%.
Sandrine Teran: And on your other question, Sami, on the cost saving plan that we call LEAP. So, it's going as planned. We don’t have much to that at this stage. We are confident that we will deliver which we announced, which I remind you is the 50 million decrease in our eternal OpEx spaces in FY'18 and 30 million in FY'19. So, it's fully on track and we are confident on this two.
Sami Kassab: Merci, good night, thank you.
Operator: Our next question is from Andrew DeGasperi from Macquarie. Please go ahead.
Andrew DeGasperi: Thanks. So, my first question on the video side. Can you maybe give us some data on your compression mix on HOTBIRD, I mean there's a change significantly between MPEG-2 and MPEG-4 in the quarter. And then could you also give us some ideas for as what region would those incremental transponders for the DoD will stand. And then lastly, I'm not sure if you've given this in the prepared remarks, but do you have the number of subscribers on case? Thanks.
Michel Azibert: Yes. Maybe if I take the first one on the MPEG-4 ratio. So, if I take HOTBIRD, the current MPEG-4 ratio is in the range of, sorry just for the whole fleet, I just do to give the general context. Our MPEG-4 penetration has been increasing, is now at 61%. On HOTBIRD, our MPEG-4 penetration is lower, it's currently at 51.7%. And yes, it has been increasing, so we should take for instance the delta versus June 16 versus the beginning of the year on HOTBIRD then. The MPEG-4 has been moving in terms of the number of flip channels. We had at the time a 475 channels and we have now 518 channels, which represents a 9% increase in the penetration of the MPEG-4. And I will say with that Orange, because Orange the fact that we have lost Orange on HOTBIRD as anticipated in January as an effect. So, we got Orange this increase would be 19%. So, there is these are the figures. I mean, what is important is to signal that of course the speed of the HD penetration is faster, not only of course when you move one channel into HD, the capacity you bring on is significantly higher than what you lose when you move from SD MPEG-2 to SD MPEG-4 is significant areas like three times higher. But also the speed now is of the HD migration is higher than the speed of the MPEG-4 migration. So, it generates positive bandwidth utilization effect.
Sandrine Teran: Andrew, what's your second question about the three transponders on government services.
Andrew DeGasperi: Yes. Just wondering what region that is.
Michel Azibert: Okay. It's a mix of North America, Middle East, and let's say in Europe to Africa.
Andrew DeGasperi: And --.
Sandrine Teran: And with regard you -- sorry?
Andrew DeGasperi: Sorry, go ahead.
Sandrine Teran: Yes. I was about to answer your question on the number of subscribers in the broadband business. So, we made significant effort when we published our H1 figures to give you a much better visibility on your various applications. And it seems so H1 results, we are now reporting good bond with the new cypher key which give you we think much more relevant that the number and or the number I've said this today that's relevant than in the past as a offers for corporates and bond. We're presenting a new increasing infarction of revenues in our good bond applications. So, we do not disclose as such anymore the number of steps because we think the information we provide you with both segments it is much more transparency then and resist.
Andrew DeGasperi: Understood. Thank you.
Operator: Our next question comes from the line of Nick Dempsey from Barclays.
Nick Dempsey: Yes, hi. Just looking at your guidance of flat growth next year, if I look at the other line and I have seen that the 7.0 million to 7.5 million is a new normal for a quarterly run rate. Then I guess there's a 1.8 point drag on group growth next year, just on the other line. And I see when I look at the other line this year, is observed of last year that's June of just under one point of benefit's, group growth. So, when you look at the business eggs other, that a lot to do in FY'18 versus FY'17. In wonder if you just help us out a bit more what you're thinking there. So, how important will 172B be, how much you're hoping for the ramp of African broadband initiative because I'm struggling to understand how you get to a flat number?
Michel Azibert: Yes, maybe, it's Michel on that. First of all on the qualitative. Let's say base is, first it's you're right to notice that our both other revenues will decrease next year for many reasons. One of the most of this one is that we're losing the offshore SES revenues. But also you have seen that in the first half of this fiscal year, we had a very high level of others which is not let's say repeatable. So, yes we would have to offset these to be a broadly stable. And the main components of the new business growth are coming as you say partly from the capacity I did, we've a 172B which will bring in particular a new Ku HTS business. It's also due to the fact that we would stabilize the situation on HOTBIRD after of course I think this year a significant negative impact of the withdrawal of capacity at the beginning of the year. That is now behind us, so we anticipate let's say the profile of the HOTBIRD revenues to be significantly a better in the course of next fiscal year. We do not embark anymore the FRANSAT and they get Eutelsat, this is also behind us because we had a very good year last year, two good year and the four transition. So, this is again something that will not be there. Then on the positive side. On top of 172B, which I already mentioned, you would have in particular the full-year impact of certain mobility contracts, the Taqnia contract on E3B Ka that w3e mentioned a quarter ago. And as you said also, we would have the Connect Africa business continuing to grow. This stops and anticipate to two of the service to open in June. So, we would have a full-year effect of the ramp up of this. Like to give you the details, so by quantitatively of this different streams, I cannot do that but basically this would result in offsetting the negatives that you have highlighted in particular in other.
Nick Dempsey: Okay. Thanks, Michel.
Operator: Our next question comes from Giles Thorne from Jefferies.
Giles Thorne: Evening, everyone. Thank you, very much. I had a three questions. The first one was, I'm just I'm trying to work out the magic you performed with EUTELSAT 5 West B. and so, this is one of the satellites where you've achieved the cost savings through the bill-to-cost approach. And yet at the same time you've been able to squeeze on the EGNOS host to payload which was never part of the original mission for 5 West B. And yet, you put that on that and you managed to keep the CapEx unchanged. So, something intuitively is just not adding up, that you could help me understand that, that would be great. Second question is very simple. Is there any change of control clause in the Hispasat option, that means you're right to put the stakes liberties Abertis merges with Atlanta which is being considered at the moment and then finally being that was occurred new plan it's welcome to see the launch market get some more liquidity but Blue Origin is still a very long way from being slight proven and even SES has probably been the most progressive on launch, when they were the first to go up on a Falcon 9 that was a long history of Falcon launches in the government sector so this is feeling like a situation that's probably about trying to get leverage over Ariana's space but perhaps you could give me some color as to why you went into the launch arrangement. Thank you.
Sandrine Teran: So I will start with the third question which says about Blue Origin, yes I guess we want to live in an environment of launch services where we are basically three providers at every point in time. This is what we basically have now if we count [indiscernible] as our main provider, a very reliable going to [indiscernible] six which will become cheaper and so it's excellent for everybody in the industry then we have Space X which is getting into a good phase after the start and then we have Proton but we all know that Proton is a little bit less certain in the medium term in terms of what they're going to do to adapt and although we like them in fact we have a plan launches we have with them. We took the opportunity of Blue Origin we have frankly zero doubt on the ability of the Blue Origin to be as safe and reliable as the other ones in the medium term and we do not believe that the risk we are taking is high through very thorough due-diligence of our technical teams on their capabilities and it's true of course that we are also getting a good commercial offer for them to be among the first to start. So yes it will be pressure on Ariana space as well as a side effect but it's really the inerrant merits of Blue Origin that convince us to go with them. And the second question was on [indiscernible].
Michel Azibert: Yes on [indiscernible] I am not aware of clues as you describing, so there is no specific [indiscernible] and on your question on [indiscernible] so yes the basic payload is pretty compatible with CapEx envelope of 420 million that we have already communicating on average of three years and the payload will generate for us as revenues that we will start to being [indiscernible] 2020 and as you might know and sure the total value of the contract is EUR102 million and the revenues will be spread over the period of 15 years that it will start to have a critical impact in revenues in the P&L as from 2020.
Giles Thorne: Thank you very much. If I could just push a bit harder though on the [indiscernible] because again this is a satellite [indiscernible] number years ago and then the strategy update it was a candidate a satellite for the built to cost approach which means you were able to lower the cost of that satellite and yet you've now subsequently announced the [indiscernible] payload and yet CapEx unchanged. So I'm just trying to work out how you do that, I know who is to payload typically you cover the CapEx and then have guaranteed revenues, is it may be that there's going to be another one of your satellite cancelled? Maybe Africa broadband satellite?
Michel Azibert: So, may be on this one to compliment [indiscernible] answer of course there is a CapEx related to [indiscernible] payload then additional CapEx to the CapEx involved in the case where they were no payload but it is relatively modest CapEx and the flow of revenue is very good, so these incremental payload has a very good return and we saw in fact this CapEx in our guidance in our CapEx, in our CapEx guidance and I think you mentioned at some point that we were changing a little bit, [indiscernible] is not the case in fact from the very beginning of course we could not disclose that because we have not secured the contract we have with the agency with agency but from the very beginning when we started working on the project we had an option with the payload and with that payload of course and in the option with that the payload which is unchanged is a fantastic example of design to cost produced by our technical teams with the industry so that basically – but there is no particular strategic change and again remind you that we were talking about the 30% saving on the CapEx versus let's say historical benchmarks which help understanding even combating with a small [indiscernible] payload which we can survive in CapEx envelope that we have described.
Giles Thorne: Okay thank you very much.
Operator: Our next question comes from the line of Andrew Spinola from Wells Fargo.
Andrew Spinola: Thank you. I might have missed this earlier but is there a date when the retail joint venture is scheduled to enter service at this point? And a second question from high level color on aviation markets, where are you in terms of the existing contracts in terms of maybe number of aircraft installed, number of backlog? Anything you can provide there and then also what is that market look like for Eutelsat and your partner in terms of potential contracts anything that maybe RFPs that are in later stages, what does that market looking like for you? Thank you.
Michel Azibert: Okay, I will take the third question Andrew on the retail [indiscernible] there was no specific date that was to agreed. As I said before the retail is now being set up, the teams are being built, the market study have started but there is no specific date that was pre-agreed for formal beginning of [indiscernible] 
Sandrine Teran: Regarding the mobility for the in-flight connectivity, the KS contracts which embarks highest technology to serve the customer the airline and we talking about three airlines. I think we mentioned already all of them a [indiscernible] and for a total of 140 aircraft we were ramp up and said it will take a few years and in the initial years starting from the next fiscal year with the beginning of the revenue flow it will be a modest few million Euros and then go up but the magnitude of the total combined feet which is obviously this case medium all serving the European footprint is 140 so they are relatively modest of course airlines but we believe that this will grow and Eutelsat will continue especially also with the help now ViaSat to generate new revenues from the aviation industry and on top of that we have KU business and here if we talk about specifically identify the airline we mentioned Saudi Airlines for Taqnia, I think they do not want at this point in time to communicate on the number of aircraft but you can think about something that's similar to the other three that all to the average of the other three that I mentioned before.
Andrew Spinola: And just in terms of sort of your outlook, are you - at a point where maybe you don't have enough capacity left on case to continue to market or are you still actively participating in RSPs both on the KA and KU side, thanks.
Sandrine Teran: Definitely on case that first of all initially we had reserve capacity for the year aviation and we have of course capacity left for that that we are actively marketing with ViaSat we cannot disclose the name airlines but yes there are prospects. And for the KU of course for regular KU before we talk about our KU SGS on pacific but for regular KU we are in fact sailing capacity in different geographies in particular in the Americas but also hopefully maybe at some point in time in the Middle East. So there are prospects there as well with regular KU and then there is the KUSGS and we have already contracted revenue with Panasonic for the Pacific coverage and hopefully there are other contracts coming go also in these regions to of course to a much more modest extent because we still have a little bit of capacity left on the satellite in HDS
Andrew Spinola: Thank you.
Operator: Our next question comes from Wilton Fry with Royal Bank of Canada.
Wilton Fry: Yes, hi there. I think you said at the start of the call, that you are doing about 23 million of revenues in professional video so to implies around 95 million for last year, I just wondered if you gave us an indication of how that sort of rolling off over time, obviously a lot of that's going to be just to substitution from point to point linkages. I just wonder if you could just a give a handle on that deploying you are seeing there obviously [indiscernible] SES have been saying as well. Thank you.
Sandrine Teran: Yes, our professional video business as you say is in the magnitude of the business is in the range of 80 million is declining, it has been declining since now one year and that is significantly it was modestly declining before is now declining a little bit like our data business with more or less at the same budget in terms of price decrease which is in the range of 9% and volume decrease in the range of even more in fact in this case in the range of 4% to 5%. The [indiscernible] reason for that are related to the substitution by terrestrial technologies like fiber for the stadiums for instance or by mobile for SNG to some extent, it's not for everything and there is always a satellite back up and certain important events like when we have the French election for instance, we have a significant business in professional video this is the trend, the good news to mitigate this trend is that we have signed in the last years a number of medium to long term contracts in professional video which to some extent protects us from a permanent decline over the next year or so we might anticipate that the decline will continue but at some point at modest pace than today.
Wilton Fry: Okay can you clarify the total size of that business, you said it was 23 million and you've been saying every [indiscernible] this year to date has been declining so most of my basic math gets me to just over 90 million, [indiscernible] more 80 which one should I go for?
Michel Azibert: Yes, I think it's probably 90 going to below 80 by the impact of this combined price and volume decrease that I was mentioning. So the stop point was probably 90 or probably you are right.
Operator: [Operator Instructions] We have a question from Eric Beaudet from Natixis. Please go ahead.
Eric Beaudet: Yes hello. Two questions if I may, the first one is on the renewed contract with the Switzerland Public Broadcaster on the Hardberg, I was wondering if you were able to pass on a price increase and I understand if you can't comment on one particular contract and if that's the case could you at least generalize on Hardberg pricing for broadcasting. The idea hearing being that for years you mentioned that prices go up as long as the number of satellite dishes go up and now we're seeing in Western Europe some satellite cannibalization by Terry Still Solution. So I was wondering how prices were holding up on Hardberg. My second question is an avocation. When you mention the potential for aviation, you clearly stated difference for KA sat and your KU satellite I was wondering if you're working on or if it's possible to have a [indiscernible] and have one in ten on a plane which could connect on both your K-Sat and KU. Thank you very much. 
Sandrine Teran: On the on the second question, yes it's possible to have KE KU, [indiscernible] in fact most of the players are working on that but specifically those were started with the KA because like ViaSat because it’s obviously in their interest to be able to provide services for the fields which are covering regions which are not covered by KA satellite so this is it. And in terms of the magnitude of our expectations for both we have the balance view, we believe that maybe the medium term future will be driven KA because of the obviously advantages of throughput. But initially we would be handicap of coverage KA works well, so we’re also working and I’d say more or less at the same level of ambition for the short term with KU projects that you’ve seen with the best in the Middle East. The other question, on the pricing, if you take the pricing per transponder I’d say stable. If you, it’s difficult for me comment on the Swiss contract but there is nothing in the Swiss contract that will tell you something different. If you’re talking about the price per megabits, we anticipate that we can have level of pricing per megabit which maybe stable but selling more megabits due to the improvement of the modulation schemes and selling per megabit and not per full transponder then we might have, we should have, in fact, we want to have and we will have positive pricing effect. But that will take a bit of time because for this we need to sell direct and we need sell megabits, so fractions of transponders to direct customers and in this case we preserve part of the value creation of the efficiency, they take the efficiency on the compression when they move to MPEG-4 and we retain or partly retain the efficiency on the ODDO to ODDO2 and sale more megabits and other bit of pricing per transponder.
Operator: Our next question comes from Patrick Wellington from Morgan Stanley.
Patrick Wellington: Good evening, everybody. Couple of questions. You came up with a fairly impressive range of headwinds for Q4 revenue and you’re still looking for minus 2 in Q4 so could you elaborate on what’s going to go right in Q4? And then secondly, a lot of the questions I suspect around video are with the implication that the video business must be in perpetual decline. Just to give us your view, when you look at your forecasted 2018 and 2019 and this site growth, are you anticipating that the video business, ex-professional video moves back into growth in those years?
Michel Azibert: I think the second question which is on video, yes, I think the simple answer is yes. After we come out from the consequences of the HOTBIRD surge meaning first of all, of course the reduction of capacity which happened in June of this fiscal year when this is beyond us. And if we take away of course the sort of carry forward of losing termination fees and this discount of effects and if you take away the carry forward, the negative carry forward of Orange, all these events, they’re being beyond us. Yes, I think the answer is we see even though we would have little capacity added in video we see the trend for broadcast getting back to positive, to slight positive growth. And you keep in mind that the professional video is following a different trend.
Sandrine Teran: And on your question on what would be helpful on Q4 this year, I would mention the main item which is in government, we will have easier comparison basis due to the washing out the result of the 2016 spring campaign with ODDO. This would be the main helping element on our Q4.
Patrick Wellington: Positive growth year-on-year in Q4 in that case.
Sandrine Teran: Yes.
Michel Azibert: The level of others will be significantly less than last year as well.
Sandrine Teran: I mean, the point we were making was this, when we gave the guidance or objectives at the beginning of the year, we pointed out that the phasing of other revenues and also the phasing effect from [indiscernible] last year meant that the deceleration in growth this year would be back and loaded and we knew that and we made the point at the beginning of this year. And actually what we’re now saying is that nine month stage like-for-like revenues are down 2% and in fact, we think that we can stick to around that level so around the middle of the original range of minus 1 to minus 3 going into the end of the year that despite those structural headwinds but we mentioned at the beginning of the year.
Patrick Wellington: Thank you.
Operator: There are no further questions at this time, I’d like to turn the conference back to management for any additional or closing remarks.
Sandrine Teran: Thank to you all. I think we’ll now close the call, thank you very much.
Michel Azibert: Thank you.